Rafael Rogelio Barradas Servín: Good morning, everyone, and welcome to this webinar to discuss Grupo Carso's results for the fourth quarter of 2025. Before we begin, I would like to remind you that this event is being recorded and that information discussed today may include forward-looking statements regarding the company's financial and operating performance. All projections are subject to risks and uncertainties, and actual results may differ materially. Hosting today's conference are Mr. Arturo Spinola, Chief Financial Official of Grupo Carso; and I, Rogelio Barradas from Investor Relations. We will first provide a brief overview of the fourth quarter financial results and then proceed to the Q&A questions -- Q&A session. I'm sorry. Consolidated sales of Grupo Carso totaled MXN 54.9 billion, decreasing 4.7% compared to 4Q of '24, mainly explained by lower sales across divisions due to the appreciation of Mexican peso. Grupo Sanborns was the division with the largest positive impact in revenues, driven by better seasonal sales. Consolidated operating income reached MXN 4.1 million, a 40.9% decrease versus the same period last year. This reduction came from lower profitability in several divisions attributable to the conclusion of major infrastructure projects, the impact of a stronger peso, the implementation of new IT platforms in the commercial division, and inflationary pressures on salaries and expenses. EBITDA for Grupo Carso totaled MXN 6.3 billion, decreasing 31.7% versus MXN 9.2 billion in 4Q '24 . Controlling net income totaled MXN 3.1 billion, decreasing 18.9%, mainly due to lower operating results and foreign exchange impacts. Regarding the performance by division, Grupo Sanborns revenues reached MXN 25.8 billion, increasing 2.3%, supported by solid seasonal sales. Operating income totaled MXN 2.3 billion compared to MXN 2.5 billion a year ago. EBITDA reached MXN 2.91 billion. For Grupo Condumex, sales totaled MXN 12.1 billion, decreasing 5.5% mainly due to lower demand in auto parts sector and a stronger peso. Operating income and EBITDA amounted to MXN 987 million and MXN 1.1 billion, respectively. Regarding Carso Infraestructura y Construcción, sales reached MXN 7 billion, a decrease of 35.9%, explained by the conclusion of large infrastructure projects. The revenues of Ixachi project are included in Zamajal. Operating loss and negative EBITDA were MXN 446 million and MXN 205 million, affected by costs related to offshore platform maintenance and FX losses, primarily linked to the Pemex collection completed at year-end. Current projects include the construction and design of the Saltillo-Nuevo Laredo passenger train, segments 13 and 14, Saltillo-Santa Catarina. Different buildings for hospitals, residences and malls, telecommunications installation services and onshore drilling service for up to 32 Pemex wells. Total backlog reached MXN 68.6 billion, up from MXN 23.9 billion a year ago, of which around 43% will be executed during 2026. For the case of Elementia Fortaleza Materiales, sales amounted to MXN 7.1 billion, decreasing 2.8%, mainly driven by the peso appreciation, considering that a significant portion of revenues are generated abroad. The cement division posted a resilient quarter and offset part of the decline in Elementia Materiales. Operating income totaled MXN 54 million, and 95.6% decrease, while EBITDA reached MXN 1.25 billion, decreasing 23.6%. For Carso Energy, revenues reached MXN 840 million, decreasing 11.8%, mainly due to the lower average exchange rate as 100% of the division's revenues are U.S. denominated and lower electricity sales in Panama to dry season effects. Operating income and EBITDA totaled MXN 649 million and MXN 753 million, respectively. Lastly, for Zamajal, revenues totaled MXN 2.06 billion, mainly driven by the Pemex contracts for finance drilling services at Ixachi and higher production at Ixachi and -- sorry, and Pokoch regarding reaching 16,599 barrels of oil equivalent on average daily versus the 11,113 barrels in the last year. Operating income showed a loss of MXN 10 million, improving significantly versus MXN 311 million, loss last year. EBITDA resulted in a negative MXN 233 million, reflecting depreciation impacts and early-stage investments. Zamajal has currently stood out with the group, driven by several strategic milestones that has stated the outlook of our hydrocarbons platforms. The binding agreement to acquire Fieldwood Mexico, the signing of the mixed contract with Pemex for the development of the Macavil oil field and the recent designation of Harbour Energy as the operator of Zama field collectively enhanced operational clarity, alignment and long-term strategy positioning. These developments reinforce the relevance of the hydrocarbons division within Grupo Carso and provide a solid foundation for continued operational progress. Before closing, we would like to highlight 3 relevant items for the quarter. First, we recognized a 7% discount on outstanding payments received from Pemex, which strengthened our cash position at year-end. Second, following the shutdown of the Vallejo plant of Nacional de Cobre’, we recorded a onetime charge of MXN 600 million. And third, the aforementioned appreciation of the Mexican peso during the quarter compared to the same period of last year generated foreign exchange effects that reduced sales by approximately MXN 1.2 million in those subsidiaries where revenues are largely dollar-denominated. With this, we conclude our remarks. We will now proceed to the Q&A session. We will switch to Spanish for greater clarity in responses. If anyone requires instant translation, we kindly ask you to activate it from the menu, select more, then language and voice, then show captions. And in the gear down on the screen, choose the language of your preference.
Rafael Rogelio Barradas Servín: [Operator Instructions] The first question comes from [ Miguel Ochoa ].
Unknown Analyst: [Foreign Language].
Rafael Rogelio Barradas Servín: [Foreign Language].
Unknown Analyst: [Foreign Language].
Rafael Rogelio Barradas Servín: [Foreign Language].
Unknown Analyst: [Foreign Language].
Rafael Rogelio Barradas Servín: [Foreign Language].
Unknown Analyst: [Foreign Language].
Rafael Rogelio Barradas Servín: [Foreign Language].
Unknown Analyst: [Foreign Language].
Arturo García: [Foreign Language].
Unknown Analyst: [Foreign Language].
Rafael Rogelio Barradas Servín: [Foreign Language].
Unknown Analyst: [Foreign Language].
Rafael Rogelio Barradas Servín: [Foreign Language].
Unknown Analyst: [Foreign Language].
Rafael Rogelio Barradas Servín: [Foreign Language].
Unknown Analyst: [Foreign Language].
Rafael Rogelio Barradas Servín: [Foreign Language].